Operator: Good morning and welcome to United Airlines Holdings, Conference Call for the Third Quarter of 2021. My name is Brendan and I will be your conference facilitator today. Following the initial remarks from management, we will open the lines for questions. At that time, if you have a question, please press star one on your touch tone phone. This call is being recorded and is copyrighted. Please note that no portion of the call may be recorded, transcribed, or rebroadcast without the Company's permission. Your participation implies your consent to our recording of this call. If you do not agree with these terms, simply drop off the line. I will now turn the presentation over to your host for today's call, Kristina Munoz, Director of Investor Relations. Please go ahead.
Kristina Munoz: Thank you, Brendan. Good morning, everyone and welcome to United Third Quarter 2021 Earnings Conference Call. Yesterday, we issued our earnings release, which is available on our website at www. ir.united.com Information And yesterday relief and large range conference forward-looking statements which represent the Company's current expectations or beliefs concerning future events are forward-looking statements are made based on information currently available to the Company. A number of factors could cause actual results to differ materially from our current expectations. Please refer to our earnings release Form 10-K and 10-Q and other reports filed with the SEC by annualized holdings and United Airlines for more thorough description of these factors. Officer out during the course of the call, we will discuss several non-GAAP financial measures for a reconciliation of these non-GAAP measures to the most directly comparable GAAP measures, please refer to table at the end earnings release. Joining us in Chicago today to discuss our results and outlook. Our Chief Executive Officer Scott Kirby, President Brett Hart, Executive Vice President and Chief Commercial Officer Andrew Nocella, and Executive Vice President and Chief Financial Officer Gerry Laderman. In addition, we have other members of the executive team online and  Q&A. And now I'd like to turn the call over to Scott.
Scott Kirby: Good morning everyone, and thanks for joining us today. I want to start by expressing my thanks to the team at United for taking care of our customers and each other during an eventful summer, and what we've done in the last 19 months stand out even more than in normal times as we all - as we also been a part of the humanitarian relief efforts around the world, flying over a 160 million doses of vaccine, returning thousands of refugees from Afghanistan and delivering thousands of tons of oxygen canisters and medical equipment to India among many other things. Despite this personal stress and strain from the pandemic our people have continued to run a reliable operations and deliver phenomenal customer service, avoiding the significant issues that have plagued far too many in the aviation industry. The United team is emerging from COVID as the leader in global aviation. Most prominently leading on safe by effectively and efficiently implementing our early vaccine requirements. We kicked off the third quarter with strong momentum as pent-up leisure demand soar and bookings remained -- begins -- and business bookings began moving in the right direction though we obviously knew that the Delta variant was a risk. Andrew will give you more details about the ups and downs of the second half of this year but from my perspective, the long-term recovery remains on track with the opening of Europe, Australia, and Singapore, and an expected inflection point in business demand now anticipated in January. Before we move to the traditional discussion about the near-term environment, I want to take a few minutes to at least lay out our view of 4 big picture trends that we believe make United Airlines, the airlines investment choices for longer-term shareholders. Number one, we will lead on costs; inflation is high but within our expectations and we remain on track for CASM ex down in 2022, down approximately 4% in 2023, and down approximately 8% in 2026 versus 2019. I know there's skeptics on this, but it really is just the math of 30% plan  (ph) growth. But there are also real industry-leading, unique structural technology and efficiency changes that were implemented at United. I can see it as I just walk through airports or read press comments about hiring struggles at other airlines, something that's not happening at United because we really have become much more efficient during COVID. Number two, geography becomes a competitive advantage. During the pandemic, United geography has been a greater headwind than any other U.S. airline, given our largest business coastal hub and international exposure. The domestic and Latin revenues, where United is a smallest in percentage terms, have been running in the 70% to 90% range versus 2019, while the Atlantic and Pacific for United, the largest, have been down 20% or more. However, despite those significant geographical headwinds, we've managed to produce results in line with or better than the industry in terms of minimizing losses. But most importantly for investors, we expect those headwinds to become long-term tailwinds as the supply of international wide-body aircraft is significantly different than the domestic narrow-body supply post-pandemic. we expect the Atlantic and Pacific to significantly outperform the domestic market for many years to come, which will turn a current geographic disadvantage during COVID, into a sustainable, long-term advantage for United global network. Number three, unlocking the power of United next and growing our revenue premium.  (ph), a noticeably improving product and the extraordinary service of the United professionals I mentioned at the top, are already driving rapidly improving NPS scores and customer choice. We expect that improvement will accelerate as we take delivery of hundreds of new customer friendly, narrow-body aircraft and retrofit all of our remaining narrow bodies in the next several years. This will make United, the airline customers choose to fly and help us drive premium revenue. Number four, ESG. United today is the leader in global aviation with our unique and real not greenwashing commitments to climate change action and the work we're doing on diversity, as exemplified by United 887. And this already matters to customers, employees, and regulators. And I think you'll see it reflected in customer choice and perhaps, even valuation in the years to come. And all of that leads to our United Next financial outlook. We will absolutely hit our CASM ex target and we remain on track and on the revenue front, our United Next targets assumed that it takes all the way until 2026 to return to 2019 RASM outlook. While we're hopeful and actually expect the TRASM trajectory will be stronger than that, that hopefully conservative assumption still leads to an adjusted pre -tax margin of around 14% and adjusted EPS of around 20 at our current share count. In closing, COVID appears to be playing out remarkably close to what we expected in May of last year. Our expectation back then was that demand would probably remain depressed until Christmas of 2021 and that the business demand wouldn’t start in earnest until January of 2022. But we always believe that total demand including international would ultimately fully recover. That forecast now looks remarkably . And we found new and successful international market in India and Africa. We anticipate a robust European recovery, and we're just now beginning to see the openings across the Pacific, starting with Australia and Singapore. United perspective was singularly unique, both on the depths of the crisis, but also on the ultimate strength of the recovery. That put us in a position to make long-term decisions on fleet and permanent changes to our cost structure and we're now uniquely setup to reap the rewards of those decisions. And with that I'll hand it over to Brett.
Brett Hart: Thanks, Scott. I'd also like to thank our employees for their hard work in the quarter. July was our busiest month since the start of the pandemic. Despite regularly changing mandates, restrictions, and new protocols that have been part of commercial air travel in 2021, our team did a fantastic job helping our customers get to their destination as seamlessly as possible. As evidenced by our record high NPS scores year-to-date. We're now past what we believe is the worst of the booking impact from this wave of the Delta variant. And looking ahead, there are some recently announced regulatory changes that are driving momentum in bookings. We were pleased by the announcement that the U.S. entry restrictions on travelers from Europe, the UK, India, and other international locations the so-called 212 (f) restrictions will be lifted by November 8th and replaced by a global proof of vaccination requirement for all international visitors entering the U.S. We look forward to more specific details, including the effective date of the changes to avoid any confusion about the new requirements for our customers and employees. Since the announcement, we have seen a 35 point increase in year over two years system bookings from international point-of-sale agencies for travel in November and December. This gives us even more confidence in our expectation  (ph) 2022, particularly over the Atlantic will be robust. Additionally, we have repeatedly innovated and upgraded our United app, our industry leading tool which outlines for our customers to travel recommendations and requirement as it relates to quarantines, vaccination, or COVID-19 tests. This tool gives United customers an advantage as they navigate the evolving  (ph) of rules and regulations and reduces as much stress as possible at the airport. We are ready for the returning international travelers. Lastly, as Scott mentioned, with the exception of a small number of employees, who sought religious or medical accommodation more than 99.7% of our US employees chose to get vaccinated. We're committed to providing the safest environment possible. It also means that our customers can book with confidence in knowing that United operations and their travel experience will not be hampered by changes to government vaccine regulations. Speaking of the reliability of our operations, we have been proactive on the hiring front. During the first three quarters of 2021, we have hired nearly 1,000 pilots, which is more than we hired in all of 2019 and welcome three new classes of flight attendants. On ESG in the third quarter, we partnered with Honeywell and made yet another investment that contributes to our journey to become 100% green by 2050. Last month, we announced the industry's largest sustainable aviation fuel agreement in which we commit to purchase 1.5 billion gallons of SAF over 20 years making our total commitment more than double the combined total of the rest of the world's airlines public SAF commitments. Last week, we also became the first airline to fly a flight on 100% sustainable aviation fuel. These are both important steps in our goal, reducing our emissions by 50% on a carbon intensity basis by 2035, and to net zero by 2050. The third quarter was also punctuated by the prices in Afghanistan. We were called upon to assist the U.S. military in bringing 15,000 Afghan to the US and troops back haul. We've operated approximately 40 so reserve air fleet or craft flights to-date. We also converted our maintenance hangar at Dulles Airport to a temporary Shelter. We're travel we are evacuees good rest, get a warm meal and take a breath after enduring such a remarkable journey. More than 8,000 employees raised their hands to participate in these initiatives. Working as crew members  medics, and for many bonds years have personal ties that guest or our military betterment. I want to take this opportunity to extend my heartfelt thanks for their service. We're also helping Afghan begin their new lives in the U.S. through our partnership with MP microbus, where we have donated 15 million miles and continue to support incentivized donations from our MileagePlus members. As you can see, the spirit of innovation at United has not been dimmed by the pandemic. back up. We've relied on it to adapt to the changing economic or regulatory environment and put our expertise to work to help those in need. That makes me incredibly proud of this Company and it gives us all us more confidence in our ability to meet the financial targets we've laid out. I'll now hand it off to Andrew to describe in more detail how we plan to do that.
Andrew Nocella: Thanks, Brett, before talking about the third quarter results or the fourth-quarter outlook, it's important to acknowledge that the impact of the Delta variant on our business was substantial. However, we expect the worst of this wave is now past. In the last few weeks, we've seen on several of our leading business indicators return to where we were in July or better. Those indicators included, number one, passenger cancellation rates are close to 2019 levels and consistent with pre - Delta levels. Two, other than domestic co-brand spend for the quarter, new card acquisitions above 2019 levels and retention levels better than 2019. Three, passenger bookings for November and beyond travel have been above 2019 levels for the last week of strong bounce back from a few weeks ago or demand for Atlantic travel is consistent with 2019 levels, since the announcement of lower travel restrictions and yesterday was up 19% by domestic business demand has rebounded to pre -Delta level. The levels are better and our largest accounts are now increasing at a similar rate to our smallest. 6, business traffic across the Atlantic is now tracking consistent with our slightly better than domestic business traffic. 7, Brazilian demand has rebounded quickly, matching the strength we've seen in, for months in near Latin demand. Eight book yields for upcoming holidays are -- are positive as well as early 22 are bob meter. Nine award booking levels have exceeded 2019 levels this week, for the first time. While we believe these leading indicators are solid evidence of a bright outlook for United, another set of positive indicators we've been tracking in recent months is the relative strength of our premium leisure business during the pandemic. These indicators include one, domestic first-off revenue reached 2019 levels this summer with paid load factors, 5 points above. 50% of our revenue in transatlantic leisure markets came from the premium cabins in 2021 a 13 point improvement versus 2019. (3) paid load factors for our economy plus increased by 10 points relative to 2019 this summer. And (4) ancillary feet revenues in Q3 were a record $9.17 per enplaned passenger. And that's basically in 2019 levels, despite 28% less massively. Whenever I talk about United next, our long term strategy, I tend to focus on domestic gauge growth of 30% and it's important. However, United next also gross premium season counts across our domestic fleet, simply closing gaps to add to our primary competitors are matching demand in our seven homes that we missed in the past few years. This recent trend of increased premium leisure demand is a material incremental revenues for us -- for our long-term outlook and as a potential increase, overall leisure yields by 2 to 3 points versus our original longer-term outlook. Well, we still believe this is traffic will return in full. Our plan will succeed even if it only returns to 85 to 90% of these levels given these yield, leisure yield gains, if they proved permanent. Further in our revenue  and premium leisure efforts. We've made the decision to outfit our 14 remaining 77 300s with our new mid-tier premium plus products. So that all 767 now include this product, we can also confirm that we will offer this separate mid-tier cabin on future deliveries of the A321 ex-large. In 2024 relative to 2019 premium plus performance across the Atlantic was our best performing gotten. Our revenues segmentation strategies have always been about offering a range of products customers want to choose from Polaris to Premium Plus to Basic Economy. Effective segmentation makes our business model more durable when faced with elevated levels of competition, something we anticipate domestically in the coming years. I will now turn to my normal update of performance in the quarter and our near-term outlook, I will often provide an early preview of our internationally focused 2022 capacity blend. Traveling for the Third Quarter  5% and total revenues were down 32% versus 2019. United did achieve positive year  to track and for July, as expected. Customer yields were positive in July and August versus '19, but fell by 10% in September, given the large  temporary industry supply demand imbalance caused by the Delta variant. The impact of lower pricing and yields will continue into the part of the fourth quarter with October performance only marginally better than September. Close in bookings continue to track below 2019 levels, but are getting better we feel where we for the last few. Just as in previous quarters, our partner operation again delivered a record quarter for United. Total cargo revenue was up 84% from 2019 and was the best third quarter on record. United cargo has once again reviewed all cargo flights that are available wide-body jets for the remainder of the year, which we expect will launch again results in leading cargo performance. Turning to our fourth quarter outlook, we now expect total revenue to be down 25% to 30% versus 4Q 2019 with November and December at the top end of the range. through the Delta variant impact on leisure demand is now gone. Its impact on business travel on yields In the fourth quarter continues. We expect capacity to come down 23% in the fourth quarter versus 2019 down 13% for domestic and 35% for international. We continue to slowly add back capacity consistent with our capabilities to deliver a consistent operation for our customers, while also matching our expectations for demand. By December, we expect domestic capacity will only be down 9% as we prepare for a very strong holiday season. Our fleet of 52  777 are not expected to fly this quarter and we continue to have 57  just temporarily grounded. We expect most of these ground ingests to return to service by June 2022, in time for strong summer demand. As I indicated earlier, if we look into Latin America and across the Atlantic have reacted well to the lowering the restrictions for travel November 8 and beyond. We remain optimistic that our Latin and Atlantic lines will gradually build to 2019 levels and above by summer 2022 and business traffic will accelerate early next year. We currently expect passive for 2022 to be approximately 5% versus 2019. Our plan, consider our expectations of macro demand, supply, and pricing and focus 100% of our growth in the international, international markets where we expect capacity to be about 10% versus 2019. As a result, we expect domestic capacity for 2022 to be approximately flat. We remain agile loop lengths around as needed are even ground unneeded wide-body jets if conditions warrant. Consistent with our planned international growth for 2022, last week we announced ten new Atlantic routes with a focus on premium leisure destinations, such as Bergen days or is in Italy. Most of our new routes have compensating of premium leisure business as we continue to diversify our global revenue streams, which in the past we're very business centered. We're also diversifying our geographic scope across the Atlantic to India, Africa, and the Middle East. Many of our new routes also have low historic shares by United and our star partners. One additional common feature of all these routes is the potential of our leading gateways in New York and Washington. We have one more significant international network announcements planned for later this month as we work towards finalizing our 2022 outlook. As the leading U.S. airline across services that we do expect slower demand recovery versus other parts of the world. We've seen some really great news in recent days with a partial opening of Australia and Singapore. Most of our capacity from Pacific in Q4 is being supported by hardware revenues. We continue to expect international long-haul  strong period of margin improvement versus the last cycle. And we are positioned in our capacity to take advantage of that trend, not only have many wide-body jets in retired across industry, but we expect that the industry premium seat capacity for the largest Atlantic carriers will be down approximately 10% per departure to 46 seats as many aircraft, including 747 and 8  with large premium cabins, have been grounded United wide-body jets have an average of 46,  approximately the same number as our primary lead competitors. As we rebuild our global network, our Polaris lounges are now set to reopen over the next few months, starting with our brand new plug Washington  tomorrow. Briefly, I wanted to talk about our United Next signature interior. We now taken delivery of 13  days with the signature interior and into hit with our team and our customers. Each of these plants have NPS scores materially higher than any other domestic mainland yet we fly connect large economy cabins. We see back monitors at every seat, We will soon begin modifications of the remainder of the narrow-body jets so that by early 2025, the entire mainland fleet has this consistent superior look and feel. Thanks for indulging me in this rather long explanation of where things stand. But more importantly, where we're taking United. Have to give thanks to the entire United team for delivering this summer and a pretty difficult conditions. And with that, I'm going to hand it off to Gerry to discuss our financial results and outlook.
Gerry Laderman: Thanks, Andrew. Good morning, everyone. Andrew reproofing , your verbose remarks, but everyone can take comfort in the fact that I will be shorter for the third quarter of 2021. We reported pretax income of around $600 million and an adjusted pre -tax loss of around $500 million. This was obviously different from our expectations when we spoke to you in July, But as Scott and Andrew discussed, this loft is solely attributable to the impact of the Delta variant on customer travel in the month of August and September. The good news is that our third quarter CASMx up 15% was better than our guidance. And we are on track for further improvement in the fourth quarter. We currently expect CASM x in the fourth quarter to increase 12 to 14% versus the fourth quarter of 2019 on capacity down around 23% versus the fourth quarter. 2019. Looking beyond this year, we are in the middle of putting together our financial plans for 2022 and expect to share more color we knew in January. However, I wanted to highlight a few items now that give us confident in our CASM x out. First, we are exceeding our target on structural cost savings as we have identified, approximately $2.2 billion in initiatives, which we expect to fully benefit from by next summer. As a proof point of this success, we estimate that we can fly to schedule 10% larger than 2019 with the same number of employees we needed in 2019. This includes a significant and permanent reduction in management employees. Second, we expect return of 52 ground 777 to service in the first half of next year. This allows us to more appropriately match the right aircraft to the right markets, which will ultimately drive the step function CASMx improvement, as these low CASM and high gauge aircraft return to the fleet. Third, our outlook for 2022 includes by higher inflationary pressure, we are seeing today across all aspects of our business. We ranging from vendor wage pressures to supply chain bottlenecks. It is for these three reasons that I am in confidence that our 2022 outlook of CASMx lower than 2019 is both fair and achievable. Importantly, it also sets a firm foundation for achieved, achieving the negative 4% and negative 8% CASM x schools for 2023 and 2026, which we've already discussed. In fact, I feel more confident today that our 2023 and 2026 goals  get back in June. Importantly, we're committed to achieving these costs targets while also investing in a superior product and experience for our customers. For example, all of our new narrow-body aircraft are being delivered with state-of-the-art interiors, including overhead bins that everyone's carry on bags, and Bluetooth enabled seatback entertainment with a long list of choices displayed on large  quality screens. We're also retrofitting the rest of our fleet to be consistent with these standards. In fact, I was recently on a new 737 MX eight flying home for newer to Houston with all those Belgium verticals, the flight was completely full and everyone found room for their backs. The slight PRU made sure the customers knew about all the amenities as approvals engaged with everyone from pre boarding throughout the play and as our customers deplane 15 minutes earlier, by the way. As I strode through the cabin during the flight by my count, at least two-thirds of the passengers were enjoying the seat back system. And I even noticed several children entertained with our new children's amenity kit. After this flight, I was curious about the Net Promoter Score. And sure enough, the NPS for the flight was over 40% higher than system average last year. We will continue to make these types of revenue enhancing product investments. While we continue to reduce unit costs across our plans for efficient gauge driven growth, as well as our $2.2 billion structural cost savings program. Turning to capital expenditures, we currently expect to take delivery of three 737-Max aircrafts and one 787 aircraft through the end of this year, in addition to the 24 mainline aircraft already delivered this year. A number of 787 deliveries of previously expected this year are now expected to recur next year, which resulted in the related Capex shifted out of 2021 into 2022. Including this change, we now expect adjusted capex to be around $3 billion in 2021. We expect use a mix of debt financing, leases, and cash to fund the acquisition of new aircraft and we'll balance the mix with our united next financial targets in mind, including adjusted total debt to adjusted EBITDA below 4 times in 2023 and below 2.5 times in 2026. As the recovery progresses, we expect economically pursued deleveraging while balancing our capital commitments. In the third quarter, we made a $375 million voluntary contribution to our pension, which will drive PBGC premium savings and access to returns on the fund . While we are not required to make any meaningful contributions to our pension for several years, we view our pension obligations as just another form of debt. This is effectively the most expensive pre -payable debt we currently add and we took the opportunity to take. In closing as the impact of the Delta variant appears to be receiving, we continue our focus on managing the business efficiently to maximize our earnings power for the long term. Our focus on costs and revenue initiatives will drive improving margin, leading to a 2026 adjusted pre -tax margin of around 14% and adjusted EPS of around $20 at current quarter-end share count. While we have never expected the recovery from the pandemic being , we're confident that United best days are ahead as we execute on our United Next strategy in the coming years. And with that, I'll pass it to Kristina to start the Q&A.
Kristina Munoz: Thanks, Gerry. We'll now take questions from the analysts community. Please limit yourself to one question and if needed, one follow-up question. Brendan, please describe the procedure to ask the question.
Operator: Thank you, Kristina. . And from Barclays, we have Brandon Oglenski. Please go ahead.
Brandon Oglenski: Hey, good morning, everyone. And thanks for taking my question. So Gerry, speaking of capex, can you talk to us about what 2022 could look like here? And then maybe a longer-term question for you or Scott, like, how do you manage the balance sheet risk versus what is a very ambitious outlook and obviously, trying to improve profitability by leveraging those things you've put out there?
Gerry Laderman: So we'll have some more detail on 2022 Capex in January, but I can tell you that the bulk of the reduction this year is just shifting into next year, those 787 in particular that caused reduction this year would just be additive for next year. So when you add those to the 48 narrow-bodies we have, you will see a step-up in capex, although I think if you took this year or next year together, blended, it’s sort of consistent.  But you should assume that most of the capex reduction this year simply got moved into the first half of next year. Longer term, we are laser-focused on reducing net debt balance and deleveraging. We could've done some more if we had more pre -payable debt, we simply don't. So we're going to, over the next few years, focus on reducing that debt, as we have the opportunity to economically prepay that debt. That’s a critical component of our United Next plan.
Brandon Oglenski: I guess if I can follow up on that, Gerry, if you get upside to earnings, you can get margins faster based on gaining a yield premium and leveraging the international network. Is that how you plan to manage the balance sheet and potentially get leverage down faster?
Gerry Laderman: So we -- the answer is yes, as we implement the plans, see the returns that profitability is going to go directly into paying down the debt and keep in mind, we also have the flexibility if the recovery takes a little bit longer. Over the next few years, we have the flexibility to manage aircraft deliveries and retirements, to adjust to whatever the environment is.
Operator: From Bank of America, we have Andrew Didora, please go ahead.
Andrew Didora : Hi. Good morning, everyone. So Scott or maybe Andrew. I think the consensus out there to this point is that the international recovery is expected to take a bit longer than the domestic recovery. So just curious if you could maybe elaborate on your plans to grow, to get international capacity back above pre-pandemic levels before domestic. And then also, just curious on how you think about your Pacific growth as it relates to that 10% international growth next year.
Scott Kirby: Sure. I'll take that. Definitely, the growth rates and the recovery will be different by the different regions of the world and the Pacific is going to be disclosed and we've said that a number of times. When you go through all of our data, what I would tell you is that we really need to start to break down our entities into a little bit more detail.  Particularly going across the Atlantic, we expect, and again, I said already today that our bookings across the Atlantic are now approaching the past 2019 levels. We expect a very strong bounce back next year in particular, starting into spring and summer. And then the second point I will point out is that a lot of our Atlantic capacity is not going to the traditional core European markets. We've gone aggressively into the Middle East and Africa as well.  For example we have a new flight to Oman; we’re flying to Cape Town and Johannesburg, Lagos in Ghana. So our numbers as well appear in elevated across the Atlantic, are going into new revenue pools that we feel very good about. We feel very good about the pricing in those revenue pools. And we feel really good about the bounce-back in those revenue pools. And we're seeing that data already today.  So we're accounting for a slow Pacific recovery. We're accounting for strong Atlantic, with that strong Atlantic really is across multiple different entities within the Atlantic today, which allowed that kind of bounce back that we're anticipating.  And again, the numbers over the last few weeks have just been -- are really in the last weeks have been incredible going across the Atlantic. So we remain really bullish as we think we have the right plan and we think we've pointed the aircraft to where we can make the most money next year.
Andrew Didora : Got it. Understood. And then just my second question. Obviously, operational challenges have been increasing at a lot of your competitors, yet you haven't seen those same type of disruptions. One, what do you think that is? And then, I guess, more importantly, what do you see as the biggest operational risks as you begin to ramp capacity back up to those 2019 levels. Thanks.
Scott Kirby: Well, thanks for noticing that, And you're right It has been uniquely different at United and at many other airlines, including all of our larger competitors who at different times have had operational challenges in the past year. And really the reason starts at the -- going back to the realistic assessments that we had all the way in February  February of last year because we thought this pandemic was going to last all the way through the end of 2021 it caused a different planning mentality, it caused a different management process, a very collaborative managing process,  we do 3 times a week now, 3 hours. So 9 hours a week where we're all together either in person or on a team’s meeting. Every single one of us knows what is happening in every single other department, and in many cases we just step into each other jobs if we have to. But that collaborative process in a really complex environment because this environment is really complicated when you brought the airline down 90% and then try to bring it back up.  That's really difficult to do. None of us in aviation have experience to do it. That process and that realistic assessment set us up well, it led us to make different decisions. We’re the only airline out there that negotiated a deal with pilots, for example. And then because of that, we can pull the airline down, keep everyone in their seat, keep everyone in their position, and bring the airline back up without having the kind of crew shortages or crew constraints that have affected other airlines. We’ve worked with our flight attendants on processes, onboard the aircraft just to avoid escalations and avoid some of the conflict that has happened on other airlines around masks and we had over a 50% reduction in mask issues this year. And our flights  just an amazing job, amazing professionals, that tone and the environment, it’s not that we have zero issue. But the tone and the environment on United is certainly different than what I read about in the press on other airlines, and we also metered them to grow.  We didn't try to get out over our skis and say demand is starting to come back and grow at a rate that we wouldn't be able to support. We've viewed that as risky to our customers and we've really changed the customer experience during this and we weren't going to lose it by trying to fly a few more flights.  So we just managed it completely different than has happened at other airlines. And you talked about the risk going forward, and I think looking forward, by far, the biggest incremental risk in aviation in the United States are vaccine mandates. United we did our vaccine mandate -- obviously  as a mandate, we did -- we were done with it before government requirements came in. So we did it purely for safety reasons.  But listening to other airlines that are now backing off those vaccine requirement and are going to encouraging employees to just all apply for an exemption and they're likely to have tens of thousands of employees that need to be tested every week. This is a rear view mirror for United, this is not going to be an issue.  But can you imagine you have tens of thousands of employees, people forget to get their test, people do the test wrong, people don't get it done, people test positive. And if you think whether in one state can lead to a meltdown, imagine if you have thousands of employees on one day calling in and saying for some reason, my test did not pass. I mean, it is going to be a huge challenge for airlines that are not implementing vaccine requirements. Customers can book with confidence on United. We're done with it. You can book with confidence on United. But, if you're booking on an airline that doesn't have a vaccine requirement they got government rules they have to follow and caveat emptor.
Operator: From JPMorgan, we have Jamie Baker, please go ahead.
Jamie Baker: Hey, good morning, everybody. Scott, I like the four big picture trends that you discussed in your opening remarks. Question on the expectation for the Atlantic and Pacific outperformed the domestic over the next several years.  Is that really a comment on how strong the Atlantic and Pacific might be? Or is it shorthand for we expect the domestic to structurally suffer going forward? Why shouldn't I look at it with that sort of devil's advocate view?
Scott Kirby: Well, Jamie, I’ll hand it to Andrew, who would better answer it than me, but most of it is supply demand.
Jamie Baker: Okay.
Scott Kirby: The supply demand balance is just significantly different in the long-haul international wide-body market. Hundreds of airplanes around the globe have been retired, and those take a really long time to change and the supply-demand balance is more balanced. And it's as simple as that.
Jamie Baker: Okay.
Andrew Nocella: Jamie, I can add is that we just had a structural advantage when it comes to global long-haul, given where our gateways are. And this is the time for us to move forward and employ our capacity in ways that makes sense and profitable in new regions of the world and in some respects, I think we're uniquely able to do it as a U.S. flag carrier, and we're going to take advantage of.
Jamie Baker: Understood. And a follow-up on that, Andrew, while I got you, I just wanted to make sure I hadn't missed any changes in the last year or so as it relates to fuel surcharges. So we do not have a fuel surcharge mechanism domestically. But how broadly do they exist right now in your international market? And how should we think about that?
Andrew Nocella: Jamie, I don't want to get into a lot of detail. There are certain countries around the world that you have fuel surcharges, their number meeting mandated. I in fact, they go up and down with the price of oil and it's kind of set by that countries to those exists. And then in other countries, we take care of it ourselves. I think we have done this under control, but the price of fuel, I think  is high.  By the way, we view the price of fuel being high as a sign that business demand is recovering as people get to work in factories around the world or amazing things. So that is a good thing. I'm not just some really a bad thing and that being said. When can we price through this higher-priced fuel is going to take some time as supply demand and melons was broken temporarily.  We're getting to -- I think the industry is -- well, I think United moves in the right direction. I think the numbers look a lot better as you get into next year, particularly as you get to the President's day and spring break holidays. So I'm optimistic about yield quality out then and like I said earlier, our yields for these upcoming holidays and early next year are positive, which is great to see.
Jamie Baker: That's great. Thank you, Andrew. Thanks, Scott. Take care.
Operator: From City we have Steven Sprint, please go ahead.
Steven Sprint: Good morning, everybody. And thanks for taking my question. Kind of a follow-up to Jamie 's question actually, over the past few months. You guys said mentioned doing some domestic point-to-point flying. How should we think about where you are now, and the let's say, gradual process of maybe phasing that out as some of your internationals pulls up and you move more towards domestic capillarity out of your hubs.
Andrew Nocella: Sure. It's Andrew, we did during the middle of the pandemic opportunistically look at some point-to-point flying and we had that out there as we return to normal, which we're doing rapidly now, we are almost a 100% focused on our seven hubs. For all kinds of reasons, we think our best opportunities there and our best opportunity for higher margin are there.  And that's worth pointing to metal. So that's what you will see. We do have a little bit of point-to-point flying in our system is proved. what's left has proved very successful. So we will continue to do that. That is not our strategic focus. Our focus is on our 
Steven Sprint: Okay. Very helpful. I will let someone else ask a question. Thank you.
Operator: From Raymond James, we have Savanthi Syth. Please go ahead.
Savanthi Syth: Good morning, everyone. Just on that capacity I was wondering if you could help me understand just next year how that progresses from down 23% currently in the fourth quarter. I'm guessing a lot of it comes over the summer, but I was wondering if you could help bridge that kind of getting from down 23% to up 5% next year?
Andrew Nocella: Sure  we timed that capacity to measure where -- or match where we think demand is going to be. So in early part of the year, it is continuing to be a pretty low number and the latter part of the year it is a higher number. We haven't finalized our budget for next year, so we don't have the exact numbers and our overall numbers at this point as you can tell.  The other thing to note, these are our deliveries for next year are heavily geared towards the latter part of next year's that won't really went in many respects. We really get started with the United Next in changing the game  gauge equation going forward. So we'll have more information on how the capacity meters in later this year or early next year when we've been finalized our budget.
Savanthi Syth: That's all. Thank you. And then if I may, I , we've not talked a lot about cash flow given that we have strong liquidity and the earnings are turning around here, but I'm just kind of curious if you could provide some color on just the cash flow components over the next 12 to 18 months, especially how you're kind of thinking about ATL here.
Gerry Laderman: Hi, Gerry. So won't provide some more color in January I would say the idea as we'll return to normal, ATL will begin to return to normal as always, see the normal peaks and valleys that are driven by seasonality on sort of other matters. The biggest other things for us to look at is as they said earlier every payment and when we start seeing those debt maturities kick-in in repayment upstream to kick in next year.  Relatively modest year on debt repayment, about 3 billion down 3 billion of scheduled debt payments. But we gonna focus on other opportunities to use that cash to manage the balance sheet. Starting as early as next year.
Savanthi Syth: Appreciate it. Thank you.
Operator: From Evercore ISI. We have Duane Pfennigwerth. Please go ahead.
Duane Pfennigwerth: Thank you. Andrew, in your extensive list, you talked about domestic business demand rebounding to 19 levels. I'll admit I missed the context on that. Was that a premium comment and kind of where are we on corporate now relative to kind of the exit rate last quarter?
Andrew Nocella: What I said was over the last week, we've seen our total bookings for domestic and four, the Atlantic and exceeding the same period of 2019, which is great to see. We have not recovered fully on business dropping and have a long way to go. We in a comment was the recovery on Atlantic business traffic is now similar to or in fact slightly ahead of the recovery for domestic business traffic, which we obviously feel really good about to see that number and see how quickly the Atlantic business traffic is recovering. over the last few weeks in particular.  But, the numbers are heading towards down 50%, but they're not there just yet. But, just looking at the trends of only the last few days, I would tell you our level of being bullish about business increased a lot. The numbers for the Delta variant costs things go down quickly, and now that we're past Delta variant.  It appears that they're going to go up, hopefully just as quickly. So it is a bit more volatile than I think we'd otherwise like to see, but we definitely like the upward volatility that we're seeing right now.
Duane Pfennigwerth: That's helpful. And then just for my follow-up on non-fuel cost, can you speak to the cadence and I guess the dependency here is when you expect longer stage flying to be more fully restored at these fuel prices. It seems like March is maybe our best shot at the earliest. But is the cost story more of a second half at this point? I appreciate your thoughts there.
Andrew Nocella: Sure. I saw the costs roll, track the capacity. So what you'll see and what we talked about in January is the first half of the year versus the second half of the year and you'll see as the triple coming back and the other aircraft come in.  As we hit the full run rate on the $2.2 billion initiatives next summer, you'll see the second half of the year being significantly different than the first half of the year. But you could essentially track the capacity to the 
Duane Pfennigwerth: Thank you.
Operator: From Goldman Sachs, we have at Catherine O'Brien. please go ahead.
Catherine O'Brien: Hi. Good morning, everyone. A bit of a different take on Jamie's question earlier, but has the current demand backdrop or the competitive capacity backdrop in the U.S., change your plans on this domestic expansion and all since you introduce United Next back in June. Was it your view back then that 2020 domestic capacity will be flat or is it just with some of these international border re-openings has the opportunities that changed? Thanks.
Andrew Nocella: The latter, the international border open in, in the recovery that we're seeing over the last few weeks just leads as things. The process maximizing opportunity is to deploy those life's overseas and that's what we've done.
Catherine O'Brien: Okay. Got it. And then, maybe just not sure you can share this yet, but can you give us any just high-level color on what entities are going to drive the 10% international growth and maybe are you able to frame the impact some of these new long rate droughts you mentioned are having on that 10% growth. Thanks so much for the time.
Andrew Nocella: Will be more up the Atlantic and Pacific, obviously, given what I said earlier. And so we are going for Europe and we've been in a bunch of new markets that are brand new to United Airlines. In fact, you are U.S. carrier fly, so we're really excited about those. But we've also announced more service to the Middle East with Amman  Jordan. We've announced a lot of service Africa, which is not really well. So pharmacies should expect more of that. So there's a lot of going on there and as well as South America, which we think is on to recovery, particularly Brazil in recent days, given the change there has looked really good across specific and, again, much slower.  We do expect across the South Pacific faster than the North Pacific, but we're really, really agile across the Pacific and be able to cancel down or broke then on the demand we see we have the best Pacific network of any U.S. carrier and we expect will bounce back first and will bounce back stronger. But that being said, we're going to be really careful when we choose to load that extra capacity.
Catherine O'Brien: Thanks.
Operator: From Wolfe Research we have Hunter Keay. Please go ahead.
Hunter Keay: Hey, good morning. So it seems like after Labor Day, a lot of folks went back to the office and they are fair to be there and now it kind of feels like people are working from home a little bit more again, because they realize it commuting is really not fun.  I'm kind of wondering if you're expecting that with business travel next year, Scott, like, are you expecting this big pop in pent-up business travel demand that are once all excited to get back on the road and you're a 100% recovered and then, maybe slowly sort of bleed back to like a lower watermark as the year progresses, as sort of the euphoria wears off?
Andrew Nocella: Well, it's Andrew, and what I would say is that the Delta variant clearly delays some offices returned. United today is hearing Willis Towers, so we're all back in our office, and when we talk to our corporate clients, we definitely see a hodgepodge and some are in and some are not but people are generally more and more returning to their office environment.  And what we've been told, a little look at changes, depending on the week is that we should expect really an acceleration of business traffic next year with a lot of end of demand, we a lot of clients that need to get back on the road and they're anxious to do so. And when they do so, they'll gladly have and I know I'm excited to get back on the road and have been traveling a lot more in the last few weeks. So a lot TBD. I can't exactly into that question other than the feedback we get is going to be very strong we also expect consumer demand our next year after being not able to travel as they would like for almost two years.  We think it's going to be really strong, including here domestically, by the way. We believe our profit maximizing opportunities are across the Atlantic right now into India, Africa, and the Middle East. But we also think there's going to be a domestic recovery. That's really significant, strong and in fact, hopefully by February, March, April is going to overcome this is much higher price of field and that's true directory on we feel good about it and that's our plan.
Hunter Keay: Okay. And then how do you expect, Andrew, corporates to book travel in 2023? I know that there's a lot of direct bookings right now. In '22 is probably going to be weird too but, is 2023 going to look like 2019? Are you going to have the same mix of GDS channel and TMCs just as relevant. How do you expect that to shake out long term?
Andrew Nocella: Long term, I don't know. Technology is changing rapidly, but what I would say is we have really great CMC partners and they greatly helped us reach our SME market. And we use DBS is to provide all the content and we do this successfully. And in agreement with our major GDS contractors up until this point, I don't expect any radical changes.  Clearly there are those in the distribution network that would like to do things slightly different and we'll let those companies and those agencies tell us what they would like and we'll do our best obviously with all of our clients and all of our customers on to give them the best customer service we possibly can. But I do believe that TMC and GDS model are really strong and helped deliver high-quality revenues in United Airlines.
Hunter Keay: Thank you.
Operator: From Collin, we have Helane Becker, please go ahead.
Helane Becker: And thanks for much, Operator. Hi, everybody and thank you so much for the time. Just a couple of questions. One is on the triple seven - seater are coming back. Gerry, what's the cost going to be to bring those back? And is that included in your Capex forecast for 20 -- or will it be in your Capex forecast for fourth quarter and for 2022?
Gerry Laderman: The triple sevens, our aircraft I've is already mislead. There's not a CapEx component to bringing them back. There is an OPEX component of getting them ready. And so that's included in our forecast was not included in any forecast as whether there's any contribution to that from other parties. We're assuming in our forecast that we are incurring that costs.
Helane Becker: Okay, that's very helpful. And then the other question I have is with regard to all these new markets. Little letter (a) is, are you concerned that your alliance partners will be put off by the fact that you are over flying their hubs to do this on your own and little letter b, can I give you a list of cities I'd like to go to that are on my bucket list.
Gerry Laderman: I would have thought with the Cities we just added and we got to your bucket list, but let me know. But we work with our great aligned partners. We really do have the best aligned partners and the low. What I would tell you about how we came to the dilution is on what city-pairs to add for this summer is many of these periods United and our store aligns partners have very low shares.  The traffic between US and those markets are carried by other alliances, not ours. And that's why these markets are great. The other thing i will tell you is sometimes you have to make the market and there's a lot of service to a lot of different places around the world.  But for example, the Azores is a great opportunity for you virtually and all your colleagues to head on a great vacation. That was very, very difficult to reach in previous years. That'll be a lot easier to reach on United Airlines milestone that New York starting this summer.
Helane Becker: That's great. Very helpful. Thanks everybody. Have a nice day.
Operator: From Deutsche Bank we have Michael Linenberg. Please go ahead.
Michael Linenberg: Hey, good morning, everyone. Hey, Scott, back to your point about the vaccine mandates being the biggest risk. Where are you maybe in conversations with the government and as it pertains to the GSA, which I think latest data is that I think there are only like 60, 65% vaccinated are you making any sort of contingency plans or as we approach the holidays, are we going to have to have additional United people that help staff and kind of get people through the airports just where things stand on that. Thanks.
Scott Kirby: Well, I have like confidence to see if they, we'll get there. They've been working hard. I think they did a great job during the pandemic in really tough times. They also -- the same department was instrumental in bringing the tens of thousands of revenue back from Afghanistan. So I think we all should give kudos and credit the Department of Homeland Security, Secretary Mayorkas and the TSA for everything they are doing.  I'm pretty confident that we'll get there I mean, I think there are implementing vaccine requirements correctly. I mean, at the United, we have proven that if you just do it, if you put the requirement out there and you're not compromising, you're not wishy washy, you don't walthall backtrack. it gets over 99% and I think they'll do the same thing and we'll get there.
Michael Linenberg: Okay. Very good, and then just a quick follow-up. Scott, you talked about hitting your targets with I think, only 85% to 90% of corporate coming back and there's a lot of talk about premium leisure travel. I'm just curious is there something secular going on with that passenger segment or is this just United catching up to the rest of the industry and just having premium seats that are on par with everybody else? Thoughts there. Thanks.
Andrew Nocella: Hey, Mike. This is Andrew. I would tell you it's probably a little of both, although we have really not started to materially change the aircraft mix from when we announced United Next, use a few months ago. So we a lot of that benefit from income in 2023 and beyond but there hasn't been an amazing amount of premium leisure business. Our being able to sell, being UMC sports in the first-class cabin and even in the main cabin, a little much higher load factors than we've done in the past. We're anxious to prove out that this is a permanent change, but part of it's  net.  There is more inventory available closer in for the seats because corporate travel hasn't rebounded completely. completely. So corporate travel is 100% and we'll have to see where the premium leisure yields are. I think we have to balance both  about would've better outcome given this change if any of this proves permanent, which we're again, we're bullish that it will be exciting to see. dizzy. It is pretty material in such a short period of time.  So we'll have to wait and see for sure because we need to balance that with the corporate demand when it comes back. But all that being said in the unlikely event, corporate demand is not 100%. We do have other levers to push and this one, as we come increasingly obvious over the last three months, as an opportunity to do something a little bit different and get some more revenue on board the aircraft.
Michael Linenberg: Great. Thanks.
Operator: From MKM Partners. We have Conor Cunningham. Please go ahead.
Conor Cunningham: Hi, everyone. Thanks for the time. I think you hinted at it in the prepared remarks, but when you think about potential swing capacity in 2022, is it fair to assume that the sweet capacity in the domestic market could move lower rather than you, making an adjustment on the international side just given the competitive landscape, I get that demand dictates all that, but just curious on your thoughts of the high level.
Andrew Nocella: I just could add would have a lot of flexibility to move aircraft around, our aircraft or factories. And they clearly to move around wherever we need them to go, whether it be domestically or overseas. So were  out. I think we have proved that continuously throughout the entire pandemic.  And we look like we're getting back on track and getting back to our normal schedule deployment, which again is why I said it will be less point-to-point flying in the future. But we'll be flexible to do what we need to do both domestically and internationally and including around wide-body jets as they're not needed. Later this year but we'll wait and see.
Conor Cunningham: Okay. And then just a follow-up to what Hunter was talking about on the business side. I'm just curious on what sectors you're seeing the most pent up demand for business travel or maybe like what sectors you're actually most bullish on longer-term, that you think you can gain share or however, you're thinking about that in the current contact. Thank you.
Andrew Nocella: Well, would everything we've done in United we didn't gain share everywhere to make that really clear to you and all of our competitors. That being said, seeing right now is consulting and obviously very strong as they get back on the road and start helping businesses all around the globe. But we're also seeing rebounds across-the-board, but we'll think they're moving in the right direction.
Operator: Thank you. And we will now take questions from the media. . And for Wallstreet Journal we have Alison Sider, please go ahead.
Alison Sider: Hey, thanks so much. I guess one of the big complaint from customers throughout the industry over the course of the last several months is just sort of about the instability of schedules: late close in changes and everything kind of being in up in the air. I'm just curious when you think we might see that level out, just see some more stability and get back to kind of normal or if this is part of the new normal going forward.
Andrew Nocella: Hi, Andrew. What I would tell you that we needed to be really flexible as we went into this phrase, as we took the airline now to basically 10% within a matter of a few weeks and we learned a bunch of things about how flexible we can be in our process. That being said, to run an airline and this size, we need the process, we consistency, and we need to load our schedules early so that it's convenient to our customers so they can book with certainty.  And we have more or less, as of this week or next, returned to a normal schedule load process, where we we load our schedules 90 days in advance and the final is close to 90 days as possible. During the pandemic, that number was dramatically lower and net costs, a level of disruption that was unfortunate, but necessary, and we did talk to our customers about it and we did react to the relative and we ranked two it. But in every way possible to make it as a simple and easy to change reservation. However, in that problem should be in the past, very rate assumed, if not already.
Alison Sider: Thanks.
Operator: From a CNBC, we have Leslie Justin. Please go ahead.
Leslie Justin: Hi. Good morning, everyone. My question is about regional airlines. Do you know if the carriers that fly for you, under your name are going to be subject to the same federal mandate, or it's done at some of the ocean Total, any operational concerns about getting them into compliance for the next few weeks, and then also if you have any information about how your approach changes Cargo, just given all the supply chain issues, good part, especially before the holidays. Thanks.
Brett Hart : Hi, this is Brett Hart. What we will say is that our regional carriers, we know that they're evaluating the applicability of the Executive Order on their business and we're in discussions with them. I think it's pretty clear where we stand with respect to towards the vaccinations, but they're in the process of working through that now. We will certainly be in the process of helping them in that process to the extent that we can. Andrew, do you want something to add to that?
Andrew Nocella: Yeah. In terms of cargo, we've obviously had a record quarter a record year, we expect that to continue well into the fourth quarter and actually beyond. Given where the country's sand in terms of the backup that supports, but also in terms of consumer demand. We're transport things by airplanes today than we traditionally have not and in talking to these higher Cargo team, we expect that to continue well into next year, if not all of next year based on where demand is for these products. And again, where the ports are and the services that we provide which are just, I think second to none on the cargo. And Leslie, if you look at our numbers, you can see there are numbers every quarter.
Leslie Justin: Okay. Thanks. Did you ask the regional airline to get the same vaccine mandates that you have? And did they say No. that's for uniformity games on the planes.
Andrew Nocella: No. At present we haven't we haven't asked are required our recent carriers to adopt our same policy. And you understand from a legal perspective, I have the right to require them to do it. But this is a process and they will work through in the same way that we did. And we know that they're very focused on it and we're confident that at the end of the day, that we good place on. But we have and are strongly encouraging them, pushing them to do the right thing for them to do as well. We just aren't in control.
Operator: Once again, if you do have a question, please press star one on your phone, and from Bloomberg News, we have Justin Bachman. Please go ahead.
Justin Bachman: Hi, thanks for taking my question. I wanted to go back to the earlier comment about United being the US flag carrier and that sort of structural change that you see on the international wide-body front and how that makes long-haul more profitable.  I wanted to get your thoughts on the thesis though, because it seems to rest an the idea that other carriers can't or won't add wide-body capacity if they can get some decent yields on that, and I just wanted to get your thoughts on that because some of these airlines you've accused in the past of being government subsidized. And it seems that they could add capacity if they chose to. Thank you.
Andrew Nocella: Hey, Justin. This is Andrew. There's really 2 components. 1 is the fleet. And how long it takes to get wide-body aircraft and configure them and put them in the air. And that is -- having done it here at United, it takes a couple of years. So when you used to retire our grounds, it's very difficult to reverse that decision get trained and acquire new aircraft replacement. It just cannot happen immediately,  But, secondly and more importantly is the fact that we're flying from what our seven major hubs here in the US. It's just to represent them full of international travel to and fro the country. Not only leisure business but business in a regular corporate business and so we just have a structural advantage on this front.  We're already the largest international carrier by far. We're able to successfully fly not only through our partner hubs, but just  all over the world. And you saw that with our recent announcement, including the new plays like Amman, Jordan.  And so we're simply taking advantage of the structural advantage we have as United that we just haven't been able to in the past properly do. But now we can and we're doing so in an era of I think tailwinds based on the fact the demand is back -- bouncing back rapidly, and our competitors across the board in that regard many, many large aircraft, many of them with large business captains.
Justin Bachman: Thank you.
Operator: From CNN, we have Chris Isidore Please go ahead.
Chris Isidore: Getting back to the Cargo and supply chain issues, are you still flying any All Cargo flight and are you considering any purchases of freighter, either traditional freighter aircraft either used or new as you're seeing, more cargo demand?
Andrew Nocella: I will take that. We had stops or planned stop all cargo planes as we were  as we were going through the summer because of the rebound in traffic and the lack of our prep in the 777 supply. As we went through the Delta variant phase and demand fell, we did out to be a small number of wide-body to our Cargo team and they Jacobs lift and the client is all Cargo through the end of this year and that is doing extremely well.  We will likely bring that to an end, again sometime, late this year, early next year. All that depends on the return to service of our practical needs of a sudden. So we do see a lot of man on the front. The team is doing a great job and we're going to have a record year.
Chris Isidore: And for your aircraft, is that something that's you're waying and considering or is that just not something that you see being in the mix long term?
Andrew Nocella: Sure. We have a fleet of about 220 or so wide-body jets on and United Airlines, they all have large valleys with room for a lot of Cargo. We just haven't seen the need to supplement those aircraft with any all freighter versions of those aircraft. At that -- at this point in time. And just from a business model perspective, we can obviously take months or years where that makes sense, or a few individual routes. But the fact that we operated things is the second-largest wide-body fleets in the world. We have a ton of belly capacity that more than meets our needs.
Operator: From the Associated Press we have David Koenig, please go ahead.
David Koenig: Okay, thanks very much. Scott. Following up on your caveat emptor comment earlier, I wondered if you have any evidence that people are booking to United because of your mandate and I guess are you counting on some of your rivals struggling to have enough staff over the holidays?
Scott Kirby: Well, the story I think it'd be hard to sort that out even if it was happening, but I would also say, I don't want that to happen. I mean, I don't give I want everyone to get back to  That's the right answer, for certainty that's the right answer for the country. I hope that every airline will stop backtracking and will embark to get everyone vaccinated like United Airlines has done. And so that it will not be a competitive advantage for us because it is, without question the right thing to do.
David Koenig: Is it a competitive disadvantage if they seem to settle for less and have some sort of testing alternative to vaccination.
Scott Kirby: Well, again, I hope that they will, again, that track. I get all their voice actually, it is the right thing to do, but is unquestionably going to be operationally, really, really difficult. Tens of thousands employees they tested everybody.
David Koenig: Okay. Thanks.
Operator: From Reuters we have Rajesh Singh, please go ahead.
Rajesh Singh: Good morning, everyone. I have two questions. First, I want to clarify your comments on triple seven. You said that you expect them to the current full-service simple close top of next year. Is that you're a GemStone or has clear though the ground fleet to put a turn per service in the first half of 2022.
Brett Hart : Hi, this is Brett. We haven't heard from the FDA, but we have been working tirelessly with  Pratt Whitney  over the past 6 months, and we do expect the aircraft to return to service in the first quarter of next year safely.
Rajesh Singh: My second question is about the supply chain bottlenecks to you or you would add to the supply chain pressers and your comments on in-place  Can you share some color and details on these bottlenecks and how are you navigating from them?
Gerry Laderman: Hey, it's Gerry. So I say, we're not seeing anything different from what others are seeing and where we are seeing shortages and potential shortages are we're just trying to stay ahead of it. So it's not at all impacting the operation or the product, but it does have some impact just on costs. It's just more expensive as the whole world is seeing sometimes to get the supply that you need.
Operator: And from Washington Post, we have Hannah Sampson. Please go ahead.
Hannah Sampson: Good morning. On the question of premium increased demand for  your customers for premium products. How are you seeing that play out, are they just kind of booking those upfront that using Myles for upgrades and getting free upgrades. I guess I'm curious, have when you're traveling, been like dying the book the seat online and just didn't have the chance or do they have more cash to book with now? What do you see playing out there?
Andrew Nocella: We will let -- this is Andrew speaking, we'll let it play out over time. But what we've seen over the last few months in particular is more of a willingness to spend a few extra dollars upgrade to a premium season. The main cabin or to fly in the first-class cabin are across the Atlantic. We've seen a better rebound in our business last cat into our leisure oriented route, such as the Athens or Italy this summer than we did in the main cabin, and I think people, a lot of consumers have saved money during the pandemic and made you referred in a little bit.  But it's also, neither great upgrades to the product. A big thing here at United is to make sure that we have a product for all of our customers from the top of the scale in terms of Polaris down to a Basic Economy customer and we can provide products across that range and that's exactly what we're doing. We expect to do more of that over time, by the way. And we absolutely know that there are certain customers that want that elevated experience. All their other don't and we will offer a range of product types that allows to do that.
Hannah Sampson: Okay thanks. And then if I could slip another one in real quick, How are you feeling prepared for the holidays, staffing wise, not just pilots and flight attendants, but across the board, care agents, people to answer the phone if people have questions or problems. How prepared are you feeling for that?
Andrew Nocella: We're in good shape. And customers can focus confidence, United Airlines.
Operator: Thank you. We will now turn it back to Kristina Munoz, for closing remarks.
Kristina Munoz: Thanks everyone for joining the call today, please contact Investor and Media Relations if you have any further questions and we look forward talking to you next year 
Operator: Thank you, ladies and gentlemen. his concludes today's conference. Thank you for joining. You may now disconnect.